Operator: Greetings. Welcome to Simply Good Foods Company's Third Quarter Fiscal Year 2025 Earnings Call. Please note, this conference is being recorded. At this time, I'll turn the conference over to Joshua Levine, Vice President of Investor Relations. Joshua, you may begin.
Josh Levine: Thank you, operator. Good morning, and welcome to The Simply Good Foods Company's Third Quarter Fiscal Year 2025 Earnings Call for the 13-week period ended May 31, 2025. Today, Geoff Tanner, President and CEO; and Chris Bealer, CFO, will provide you with an overview of our results, which were provided in our earnings release issued earlier this morning at approximately 7:00 a.m. Eastern Time. Our prepared remarks will then be followed by a Q&A session. A copy of the release and accompanying presentation are available on the Investors section of the company's website at www.thesimplygoodfoodscompany.com. This call is being webcast and an archive of today's remarks will be made available. During the course of today's call, management will make forward-looking statements which are subject to various risks and uncertainties that may cause actual results to differ materially. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today's press release and the company's SEC filings. Note that on today's call, we will refer to certain non-GAAP financial measures that we believe provide useful information for investors. Due to the company's asset-light, high cash flow business model, we evaluate our performance on an adjusted basis as it relates to EBITDA and diluted EPS. Please refer to today's press release for a reconciliation of our non-GAAP financial measures to their most comparable measures prepared in accordance with GAAP. The acquisition of Only What You Need Inc., or Owen, was completed on 06/13/2024. Therefore, the company's year-ago performance for the thirteen weeks ended 05/25/2024 does not include results of the Owen business. References during this call to organic or legacy Simply Good Foods refers to Simply Good Foods' business excluding Owen. As we have now lapped the anniversary date of the Owen acquisition, for future calls, the use of organic will refer to year-over-year growth for brands we have owned for more than twelve months. For Q4, that will include the growth of Simply Good Foods excluding Owen for the first few weeks of the quarter, and growth for the entire company for the balance of the quarter. Finally, all retail takeaway data included in our discussion today, unless otherwise noted, is for the thirteen weeks ended 06/01/2025, and reflects a combination of Serconis Neulo plus plus C company estimates for unmeasured channels, as compared to the prior year. I will now turn the call over to Geoff Tanner, President and CEO.
Geoff Tanner: Thank you, Josh. Good morning, everyone, and thank you for joining us. I'll start by reviewing our Q3 performance before turning it over to our new CFO, Chris Bealer, who will discuss our financial results and our updated fiscal year 2025 outlook. We will then be available to take your questions. Momentum continued in Q3 with net sales up 14% year-over-year driven by the acquisition of Owen and approximately 4% organic growth. Consumption was once again up double digits for both Quest and Owen, more than offsetting the anticipated declines for Atkins. As a reminder, Quest and Owen, in aggregate, make up approximately 70% of our net sales today. Growth for the nutritional snacking category remains robust in Q3, up double digits again reflecting the continued mainstreaming of consumer demand for high protein, low sugar, and low carb food and beverage options. Simply Good is at the forefront of this generational shift with an attractive portfolio of three uniquely positioned brands powered by leading sales and marketing capabilities and a talented R&D and supply chain team. Adjusted EBITDA in the quarter grew approximately 3% year-over-year, while our margins remained strong overall, were under pressure during the quarter, as we realized higher levels of inflation, most notably from cocoa and whey. As we discussed on prior calls, expected inflation to impact our margins, as we moved into the second half. In response to these headwinds, we substantially stepped up our productivity and cost management efforts and we've started to realize the contribution from pricing we've taken on select items. We expect to realize the full benefit of productivity and pricing actions over the next twelve to eighteen months. Cash flow generation remains a hallmark of this organization. In the year since we acquired Owen, we have repaid essentially all of the $250,000,000 we borrowed to finance the purchase. And during Q3, we repurchased over $24,000,000 worth of our common stock. At only half a turn of leverage today, our balance sheet gives us optionality going forward. Finally, considering our top and bottom line performance year to date, and trends to begin the fourth quarter, we are tightening our ranges for full year net sales and adjusted EBITDA. I want to commend our teams for the tenacity amidst the dynamic operating environment and delivering a year where we expect to generate approximately 3% organic growth and mid-single-digit total adjusted EBITDA growth. As well as to successfully integrate Owen. Turning to our largest brand, Quest, which represents approximately 60% of our net sales today, the brand delivered another quarter of double-digit retail takeaway in sales growth. Consumption in Q3 grew 11% with household penetration up 120 basis points year-over-year to 18.3%. As Quest approaches $1,000,000,000 in net sales, we see a long runway of opportunity. Driven by a framework for growth based on disruptive innovation expanding physical availability, and increasing brand awareness. Our salty snacks platform embodies this strategy. Salty snacks retail takeaway grew 31% this quarter and is on pace to become the largest platform on the Quest business. We continue to successfully launch exciting new flavors and sizes, expand distribution and merchandising in and out of our aisle, as well as in new channels, and we remain focused on building awareness through award-winning marketing. As we work to expand physical availability of chips, we're particularly excited about the support we're getting from retailers who see the growth incrementality of the segment. As an example, at a large mass merchant, Quest recently secured incremental shelf space within our core aisle during their upcoming reset later this year. In addition, at the same customer, Quest gained multiple placements outside our aisle. Including on their highly visible health and wellness wall as well as near their heavily trafficked grocery section. Shifting to bars. Consumption grew 3% this quarter, led by growth from our Hero Crispy line and our new overload bars. Initial distribution and velocities for overload continue to build in line with that plan. And both consumer and retailer feedback has been positive. The recent launch of our 45 gram Quest milkshake is also progressing nicely. Building ACV and awareness. We're supporting this new platform with activations across the country focused on driving trial. Similar to Overload, ACV is expected to bill through the rest of the calendar year. We're also seeing solid contribution from our Bakeshop platform, which continues to be a highly incremental basket builder for us and retailers. We're excited about the innovation we have coming on this platform in fiscal 2026. To wrap it up on Quest, we're pleased with our Q3 performance and execution. As we enter Q4, we remain committed to driving growth and investing in the brand. Positioning Quest continue its growth trajectory into fiscal 2026. Moving to Atkins. Consumption in the third quarter was down 13% versus prior year, consistent with our forecast. As we discussed last quarter, declines accelerated due to broader distribution losses at a key customer, and from not repeating high volume merchandising events from a year ago. These two drivers accounted for most of the Q3 decline. We're on a journey towards a more focused and sustainable Atkins business. Importantly, the core SKUs of the Atkins portfolio performed above category velocity benchmarks. However, the brand does have a long tail of SKUs many of which turn at below category average levels. Therefore, our approach continues to be to drive towards an optimized assortment for the brand including bringing to market improved innovation, like we've done with the 30 gram acting strong shed. In channels like ecommerce, where we do not have space constraints, we continue to grow nicely with retail takeaway at a key customer up 7% this quarter. Part of the rationale in proactively pruning act in shelf space is working with retailers where possible to more effectively utilize the total shelf space allocated to Simply Good Foods. As an example, during upcoming resets, we expect Atkins to see a significant decline in distribution at a large mass retailer. However, we will offset a majority of Atkins space losses, with gains for Quest and Owens SKUs that are higher turning in the case of Quest, more profitable. Our commitment to supporting the brand and confidence in the long-term vitality of the business is underpinned by the strength of the core SKUs. Consumer research and customer conversations continue to reinforce a strong need for a science-based brand and products that help consumers with their weight loss journey. Including those using or coming off GLP one drugs. We remain committed to our revitalization plan again, in support of building a healthier, more profitable, and more sustainable business. Moving to Owen. Retail takeaway increased 24% in Q3. With strong contribution across channels. Owen's ready-to-drink shakes retail takeaway grew over 20% in the quarter. Distribution increased 18% benefiting from recent gains made during the spring reset. Reflecting on Q3 consumption growth, we fully anticipated that trends would slow relative to the first half as we were lapping some sizable wins from the prior year. As we enter Q4, despite a slightly slower start in June, we expect retail takeaway trends to remain strong. Benefiting from incremental distribution wins. As well as planned merchandising activity across several retail partners. Stepping back, we continue to see a long runway of growth for the brand. Due to strong velocities and category incrementality that position Owen to continue to expand distribution household penetration and awareness, which remain well below peers, and leveraging Simply's R&D team to still keep portfolio gaps across flavors and sizes. And even new formats. At approximately 10% of our net sales today, with integration work nearly complete, we remain confident in our ability to drive strong double-digit growth. We have the team, capabilities, and insurgent mindset to enable Owens to contribute to Simply's top and bottom line growth for years to come. To summarize, I'm pleased with the momentum in our business. Our fiscal year to date performance, and our outlook as we work to close the year. Simply Good is uniquely positioned as a leader in the fast-growing nutritional snacking category. With a portfolio and team built to lead the generational shift of demand towards high protein, low sugar, and low carb food and beverage products. We will do this by introducing delicious innovation expanding physical availability of our products. And building brand awareness. With approximately 70% of our portfolio through Quest and Owen, driving strong top and bottom line growth. As well as an agile culture flexible supply chain, and a talented team we are confident in our ability to deliver sustainable growth and create meaningful shareholder value. I will now turn the call over to Chris who'll provide you with the details of our financial results and outlook.
Chris Bealer: Thank you, Geoff. Good morning, everyone. Total Simply Good Foods third quarter net sales of $381,000,000 increased 13.8% versus last year. Driven by the contribution from Owen of $33,600,000 or 10% as well as 3.8% organic growth. Organic net sales growth was driven by Quest, which grew 15% in Q3. The brand benefited mainly from strong retail takeaway, as well as a modest improvement in retailer trade inventory to ensure operational continuity during a warehouse transition early in Q4. Net sales for Atkins declined 12.7% in line with consumption. And Owen had another solid quarter with retail takeaway up double digits versus prior year. Gross profit of $138,500,000 increased 3.7% from the year-ago period. Driven mainly by the inclusion of Owen. Gross margin was 36.4%, a decline of 350 basis points versus prior year. Driven mainly by elevated input costs most notably cocoa and whey. That were only partially mitigated by productivity and pricing. The inclusion of Owen in our results was also a headwind in the quarter. Selling and marketing expenses of $33,800,000 were down modestly versus prior year with declines on the legacy business partially offset by the inclusion of Owen to the portfolio. G and A expenses were $41,200,000 an increase of $9,700,000 versus last year. Primarily due to integration expenses and the inclusion of Owen. Excluding stock-based compensation and one-time integration costs, G and A increased $4,800,000 to $31,400,000 driven mainly by the addition of Owen to the portfolio. As a result, adjusted EBITDA of $73,900,000 increased 2.8% from the year-ago period. Net interest expense of $4,200,000 was up modestly versus the prior year. While the effective tax rate was 25.2% up slightly versus last year. Net income was $41,100,000 down from $41,300,000 last year. On a fiscal year-to-date basis, net sales are up 13.2%. Supporting gross profit and adjusted EBITA growth. Of 9.2% and 10.6% respectively. Margins have compressed mainly as a result of the inclusion of Owen in our results. Third quarter reported EPS was 40¢ per diluted share versus $0.41 in Q3 last year. Adjusted diluted EPS was $0.51 compared to 50¢ in the year-ago period. On a fiscal year-to-date basis, the company generated reported diluted EPS of $1.14 up 4.6% versus the prior year. Whereas adjusted diluted EPS of $1.46 increased 9.8% versus the comparable prior year period. I want to commend the team for their hard work and strong execution on delivering our results so far this year. And their perseverance amidst a dynamic environment. Note that we calculate adjusted diluted EPS as adjusted EBITDA less interest income interest expense, and income taxes divided by diluted shares outstanding. Please refer to the press release for an explanation and reconciliation of non-GAAP financial measures. Moving to the balance sheet and cash flow. As of 05/31/2025, the company had cash of $98,000,000 and an outstanding principal balance on its term loan of $250,000,000. Bringing our net debt to trailing twelve-month adjusted EBITDA to approximately 0.5 times. Fiscal year-to-date cash flow from operations was $133,000,000 compared to approximately $167,000,000 last year. The decline was primarily due to higher uses of working capital, principally inventory, Capital expenditures were approximately $3,000,000. During the quarter, the company repaid $50,000,000 of its term loan debt bringing fiscal year-to-date repayments to $150,000,000 In the eleven months since we've acquired Owen, the company has now repaid $240,000,000 of the $250,000,000 borrowed upon purchase. In addition, during the quarter, the company $24,000,000 to repurchase nearly 700,000 shares. The company has nearly $50,000,000 remaining on its current share repurchase authorization. Moving on to our outlook, As you saw in this morning's press release, we are updating the ranges of our full year net sales and adjusted EBITDA guidance. Specifically, we expect the following: Total company reported net sales are expected to increase 8.5% to 9.5%. With organic net sales growth driven primarily by volume. Embedded within that, we anticipate Owen net sales finish the year at approximately $145,000,000 which is the midpoint of our previously provided range. Total company adjusted EBITDA is expected to increase 4% to 5% which continues to include an assumption that gross margins will decline 200 basis points on a full-year basis. Please note that our outlook includes the fifty-third week in fiscal year 2024 which represents an approximately two percentage point headwind to full-year growth for net sales and adjusted EBITDA in fiscal year 2025. As it relates to the fourth quarter, I would like to highlight a few items. First, we expect Q4 organic net sales to grow around 3% at the midpoint. Which as a reminder will include Owen within the organic net sales growth calculation for most of the quarter. Second, our implied gross margin outlook for Q4 reflects an increase in realized inflation, as well as the impact of tariffs, which are beginning to flow into our P and L. Please note that both of these drivers are expected to continue for some time. As Geoff said earlier, we are stepping up our productivity and other mitigation efforts, but these offsets will take time to be fully realized. And third, our updated full-year adjusted EBITDA growth outlook implies a low double-digit decline at the midpoint in Q4. Or a mid-single-digit decline excluding the extra week. Finally, I would note that our outlook assumes current economic conditions and consumer purchasing behavior will remain generally consistent over the balance of the company's fiscal year. For a comprehensive summary of our full-year outlook, and details on certain below-the-line items, please see slide 16 in our presentation. That concludes our prepared remarks. Thank you for your interest in our company. We are now available to take your questions.
Operator: Thank you. At this time, we'll be conducting a question and answer session. If you like to ask a question at this time, please press star 1 from your telephone keypad participants that are using speaker equipment, it may be necessary to pick up your handset before pressing the star key. One moment, please, while we poll for questions. Thank you. Thank you. And the first question today is from the line of Matt Smith with Stifel. Please proceed with your questions.
Matt Smith: Hi. Good morning. Morning, Geoff, you call that distribution expectations across the portfolio for the upcoming fall shelf reset, including what sounds like significant losses for Atkins. Can you expand on how much of a distribution headwind you expect for the brand and product segments? And how you expect that to impact sales through the channel? Kind of help bridge the comments between significant distribution loss against consolidating distribution behind the hardest working SKUs.
Geoff Tanner: Yeah. Thanks, Matt. Appreciate the question. So the double-digit declines on Atkins you know, that we're seeing right now, obviously, a headwind to total company growth. I do wanna credit the team, though, for proactively addressing it. Hit off with the retailers, with that revitalization effort. As as we approach the full reset conversation with buyers, we had very productive conversations with them. About the best use of space for the category and for simply And those conversations acknowledge that Atkins has a strong core of SKUs, but certainly a long tail of lower velocity SKUs. So in conversations with those retailers, the net result is that we we're expecting additional cuts for Atkins that we do expect to offset with gains from Quest and Owen. So while we're early in our planning cycle for twenty sixth, but most specifically to your question, we do expect to see continued double-digit declines on the Atkins business in '26. Driven almost entirely by these distribution cuts. But, again, it's part of our strategy with Atkins to build a more sustainable more profitable, and more efficient business. And then and if you step back a little bit, as I mentioned, the core of the Atkins portfolio representing the majority of sales turn above category benchmarks And so primarily what we're dealing with with Atkins is a space issue. And I I would point to ecommerce where there is no space constraint. There are no space constraint. And the business is up high single digits. So you know, I think this underscores the health of the Atkins brand. The job it does for consumers, that we're paying you know, eyes wide open and realistic. About the space challenge, and having very productive conversations with retailers about how to offset those challenges. With Gaines with Quest and Owen. It's very helpful. And as a follow-up, you talked about still expecting double-digit declines on Atkins as you look out to fiscal 'twenty-six. I think there was a an aspiration to for the total company to grow towards its long-term algorithm, call it four to 6%. Can can you are your expectations for Quest and Owen such that think that's still reasonable, or do you think the the Atkins decline at this point is a little above what you had previously expected as you look out to next year?
Chris Bealer: Yeah, Matt. It's Chris. I'll take that. I'll take that question. Look, it's still very early and our planning process, and we'll give obviously a full guide in October. What I can say on the top line that we will expect to see similar consumption trends on Quest and Owen as we've seen in in recent times. We do expect Atkins trends to get slightly worse than '25 is Geoff just said. So I think we'd still be looking at looking at growth, but, like like, Geoff said, Atkins would definitely be a a slight headwind. The total company growth. You know, Matt, you are when you strip out the the merchandising cuts and and distribution losses on Atkins, Brands actually performing essentially flat. And even in even in the large club customer, we're we're lost distribution. We've been pretty clear about that. We were growing slightly. It's just that the space constraints, particularly in that limited SKU environment, have have led us to losing on Atkins. And, again, if if even if you look at ecommerce where there's no space constraints, we're growing. So our plan moving forward with the business with that can then end to '26. Is to proactively address those challenges. With retailers. And, obviously, that will flow through into '26. With that.
Matt Smith: Thank you. I'll pass it on.
Operator: Next questions are from the line of Peter Grom with UBS. Please proceed with your questions.
Peter Grom: Thanks, operator. Good morning, everyone. I wanted to ask on Owen. A bit of a slowdown in the TRAC data, and I think it was a bit weaker than we had modeled in the quarter. We just love some perspective on how the brand is performing relative to your expectations? Was this slowdown largely contemplated as you think about the guidance? And then, Chris, I just wanted to make sure I understand your response to Matt's question. You said you would expect growth similar to what we've seen recently. So you maybe put some guardrails in terms of what that might mean for Owen as we think about fiscal twenty-six?
Geoff Tanner: Yeah. I'll take the first question and then hand it off to Chris. And we remain very confident in the Owen business and and believe it has a very long runway to staying for us. To your question, we fully anticipated the deceleration in the second half. It was always in our plans and reflected in our guidance. And the key driver here, as said before, is we lap significant TDP gains. Particularly at a large club and mass customer. And given where the brand is in its maturity curve, though, we're very confident that distribution gains are going to reaccelerate. As we look into Q4, we have very clear line of sight to those gains coming over the summer. And into the fall. The Q3 was just we were lapping a period, and we we while we were lapping sustained period of distribution growth from last year, I would highlight that 20 to 30 points below leading rated drink peers. So it has significant opportunity to add more breadth on shelf and in customer conversations, they're very bullish on this brand. And we will be seeing you know, meaningful gains starting in the summer. And into the into the fall. And and even looking beyond that, I'm excited about additional platform innovation that should keep that distribution engine going. I'll turn it over to Chris. Second question. Yeah. And then maybe just to clarify, it what I what I was saying is if you look at Quest and Owen, recent consumption trends, we expect those to continue into FY '26. So just just to specify a couple of a couple of points, on o and in Q3, we had you know, let's call it '24 roughly 24% consumption growth. We'd something similar to that in FY '26 on a full-year basis. And what that's going to do is Okay. That sounds As you think about the portfolio, what that's gonna do, it's gonna continue it's gonna continue mixing Quest and O and larger in the portfolio and Atkins smaller in the portfolio. Given the the numbers that you know, that Geoff's already laid out earlier?
Peter Grom: Okay. That's that's really helpful. And I guess my second question just is is on the 4Q exit rate and how we should be thinking about that in the context of '26 and that you you kind of called out top line 3% at the midpoint. It's a little bit below the long-term algo. Profit down mid-single digits excluding the extra week, and and and, you know, as mentioned, these costs are going to continue with maybe the offset likely to take some time. So I know we're you're you're still early in the planning process here, but just any thoughts in terms of how we should be thinking about or how this exit rate should inform our view on on the path forward?
Chris Bealer: I I wouldn't think too much about the exit rate. I would really I would really say that it it is a bit too early to to give guidance on EBITDA. We'll we'll do that in October. We've got a lot of moving parts, so we're still waiting like everyone else, for clarity on tariffs. Which you know as you know and as we've seen this week, that continues to shift. We generally do have good visibility to our input costs through the end of the calendar year. And we're working to build coverage through the through more of fiscal twenty-six. We're also working to quantify the benefits and timing of our productivity program that we talked about in the script. And on and on pricing actions. What what I can say on EBITDA is while we're working to land the plan, we can see already that the shape of the year is going to be more challenged in the first half than the second half. As we get the higher cost into our base and the benefits of productivity and other mitigants will build as they are slightly on the lag.
Geoff Tanner: Yeah. And I just wanna build up for that. I we are know, still early enough planning cycle. I I do wanna remind the strength of the category 17 quarters now of high single, low double-digit growth. The generational shift, towards high protein, low carb, low sugar, is not slowing down. It's accelerating. When you look at our portfolio, you know, through Quest and Owen, that represents 70% of our net sales, growing very nicely double-digit. And both both brands have both brands have a significant runway When you look at the top line for us, the primary issue that we're working through is Atkins space. And losing some of the tail, which was to Matt's question. And if you just go one click lower, I really would point to Quest. Continues to put up high single, low double digits week to week. Underpinned by a faulty business that is on pace to be a large segment. And then if you look more broadly across Quest, every part of the portfolio is growing. So we're we're early in the cycle. There are some headwinds we're working through, but I I I do wanna remind you the fundamental of our category, and of our business. Remain very strong.
Peter Grom: Great. Thanks so much. I'll pass it on.
Geoff Tanner: Thanks, Pete.
Operator: The next questions come from the line of Jim Salera with Stephens. Please proceed with your question.
Jim Salera: Hi, Geoff. Hey, Chris. Good morning. Thanks for taking our question. Hi. I wanted wanted to start and see if you guys could give us an update just on the number of average SKUs Quest has across retail and particularly with with kind of a focus on as we continue to expand the portfolio portfolio and Salti becomes a bigger mix, what should we think about as being kind of a target or a goal number of SKUs? As as I imagine, if you're getting into other placements outside of kind of your traditional aisles, that should probably increase you know, the overall number of placements you got? So just any thoughts on that to start off?
Geoff Tanner: I I don't really think about a brand having a target number of of SKUs. Particularly in the case of Quest. Which has proven its ability to expand well beyond the core bar. And I I would point that there's very few brands that I've seen in my career that can do that. I see continued distribution growth in our aisle on Quest. Particularly on salty, despite the size of the salty business request. It's clear we're still in the very early innings on Salty. And every new flavor and then we've brought to market under salty as being highly incremental. I think that reflects the size of the addressable market, which is $50,000,000,000 and Quest is the disruptor. In that space and clear market leader. And that and then you have to imagine we're working on additional forms of salty that will continue to drive distribution. So I so much have a target number of SKUs. I think the addressable market on salty is significant. We're going after it. What I would what I would then go to is we're making a concentrated effort to drive distribution out of our aisle. So, historically, simply was more focused you know, on on their aisle. But as we see the demand for high protein, low carb sugar mainstream, there's clearly an opportunity for us to drive greatest physical availability outside of our aisle. And we've made that a key priority and focus for the organization moving forward. I've made a lot of investments in that. Area. That I expect to pay off in '26 and beyond. Whether that be secondary placement in mainline aisles, where we have some tests going on. Whether that be additional merchandising around the store, or whether it be a new channel such as away from home. In places we're not today. So don't really view it as quite having a particular target. Per se. It's just meeting the demand clearly there for the business. Both in AeroAil and across the store and beyond.
Jim Salera: Okay. Well, I I appreciate the thoughts there. And then, Chris, if I could ask a question on gross margin. If you're able to kind of quantify I know we have the cocoa headwinds, but you mentioned tariffs starting to flow through the P and L. On a go forward basis, and just as we think about where '26 might land, is it fair to assume kind of gross margin more in a range of you know, '36 to '37 versus kind of the the upper thirties? If we still assume kind of tariff impact is around where where it's at today.
Chris Bealer: Yeah. Good good question. I'm not gonna specifically talk about a specific range on gross margin. Like I said earlier, that one of the we've got good visibility to our cost in the first for the rest of this calendar year. We're looking to lock in some more coverage and to get better visibility to the second half of the year. We've also got moving all the moving pieces on tariffs that, frankly, we don't have a a lot of clarity on given the recent extension. Second extension of the tariff deadline. I would like and like I said, the the second half the, yeah, the second half gross margin challenges we have this year going to see those flowing into the first half as I talked about earlier. We we do expect to have a better gross margin picture in the second half of FY twenty-six as our high cost get into our base and productivity and pricing benefits build. As I said earlier.
Geoff Tanner: Yeah. Our our target of the company continues to be high thirties. You know, gross margin. Ideally higher, but And that something that we remain very committed to. Obviously, that will cycle up and cycle down over time. But it's something that we believe is extremely important because that gross margin is where we fuel our investment in innovation and brand building. Obviously, with the higher cocoa costs in particular and a little bit tariff. second half. We've seen that come under pressure right now. As Chris said, that will flow through But this is also why with materially stepped up our productivity efforts as an offset. And why we're we've executed some pricing And right now, we're contemplating additional pricing where it makes sense. So we remain very committed to getting those gross margins back up And, you know, as we think about twenty-six, probably a lag to that, But that's just a fundamental tenet to our our company. And and how we create value and build brands.
Jim Salera: Right. I appreciate the detail. I'll hop back in to you.
Operator: Thanks, Geoff. The next questions are from the line of Kaumil Gajrawala with Jefferies. Please proceed with your questions.
Kaumil Gajrawala: One, just I guess, quick clarification and then question on Quest, which is on the clarification, is Atkins double-digit declines next year just as simple as the distribution cuts sort of lapping over the course of next year? Do you think on a sort of distribution adjusted the brand is also declining. I think you said for so far it's at the moment, it's flat. Just curious on that. Comment And then on Quest, sort of the real question is, as you talked about capacity expansion, if you can maybe just dig into that a little bit, how much, how fast is that maybe the biggest limiting factor for growth at Quest? And then the commentary on entering other parts of the the store We're is it going? You know, outside of its own aisle, but what are the sort of target locations?
Geoff Tanner: Yeah. So to your first question on I I think your question is really the fundamental health of ACK. And I think it was Matt. Question. Follow-up. The when you strip out distribution losses and merchandising cuts, Atkins is ostensibly flat. And and, again, that that underscores two things. One, the health of the brand, the consumer demand, for a brand that helps them with weight wellness. How trusted the brand is, and how the credibility that Atkins has in that space. But we we're obviously acknowledging that Atkins has a a large footprint. And that it has tail of skews that turn below category averages, that we're proactively working with retailers to rebalance that across the Simply portfolio but that that will lead to Atkins continuing to have distribution cuts. To your question on on Quest and and Salty, you know, we continue to be, as I said, very encouraged by the growth we're seeing on salty you know, week to week. It's it's 25 to 30% consumption growth week in, week out. We continue to be very encouraged by this support we're getting from retailers. With additional merchandising that called out in the script. A large mass customer on the wall of wellness, Got a test going on. With the dedicated section in our aisle. We've got additional display around the store. And that has necessitated us to pull forward our capacity planning because we see those sign of the business slowing down. And we wanna make sure that we are ahead of this. And and that we can service the market service consumers with our products for years to come. So that that we wanna get ahead of that. And then I think you asked about where we're driving additional distribution to the the key elements of that are firstly, in channels where we're not So been transparent about a very important test that we ran at a large club customer. Where we did very well. In conversations about expanding on that. As we move into '26. We've got some tests going on in the mainline salty aisle. That we're very encouraged about. And then on top of that, a big focus for me is putting our products within arm's reach. Of consumers around the store. So we've amped up our retail execution capabilities just getting secondary placements, as well as away from home. So when think about Quest, increased physical availability is a significant growth factor for us. In the coming year. It was very focused on on driving that. So, yes, winning in our aisle. But driving availability at Quest everywhere.
Kaumil Gajrawala: Got it. Thank you. That's useful. No follow-up. I think I asked you three questions at once.
Geoff Tanner: Thank you. Alright.
Kaumil Gajrawala: Got it. Thanks,
Geoff Tanner: Thank you.
Operator: So we may address questions from as many participants as possible. We ask you please limit yourself to one question. The next question comes from the line of Robert Moskow with TD Cowen. Please proceed with your question. Hi. Thank you.
Robert Moskow: Geoff, I was wondering if you have any color for us on the FIGHT for distribution space in, the ready-to-drink protein shake category. I would imagine, you know, more new entrants are coming in, more capacity is being billed. How is that influenced your ability to get your new quest shake on the shelf. And and do you foresee any change in the fight for shelf space going forward? Yeah. Good morning, Rob. Yeah. Like, it's not a surprise to me that we're seeing stepped-up levels of of competition in the ready-to-drink space. Think that's a reflection of the state of the standard store. It's a reflection of the strength of our category, which as I mentioned, now 17 quarters of double-digit growth. So particularly in ready to drink, which is seeing outsized growth even within nutritional snacking. It's not a surprise to me that there's been some recent entrants So so far, when when it when it comes to 22, 23%. But that will build as we get into the four resets. So we've been able to secure great distribution. Not just within our aisle, but more broadly targeting callers for example, where I've been very pleased, and it's leveraging the new capabilities we've put in place to drive distribution out of our aisle. What what what that reflects is that we've got a 45 gram protein shake. The that is performing you know, early but performing very well. So people obviously trust the brand. Putting a lot of support behind it. It's a competitive space. I wanna be cautious with our projections for this business. However, early early, you know, in three, four months into the launch year, despite the competitive environment, which you referenced, I'm pretty optimistic about what I'm seeing. Out of this Milkshake launch. And increasingly, optimistic about you know, what a what a a sizable beverage business could mean for the Quest. Business.
Robert Moskow: Can you be more specific? Do you think it'll get into club stores the the new quest item, or is it focused on different channels initially? It's a little early. I mean, I ideally, Rob, would wanna build the business outside of club. Before taking in the $30.40 dollar price point to club. Typically how you'd wanna launch a new product like this. If we have the ability to test in Club, we might do that. But as we think about getting to market, particularly with the higher price point that this product has, Ideally, we want singles distribution some four packs, We built the business. We would then take it to club the club environment where you're talking 12 to 15 pack. But that that's typically how I would want to bring a product like this to market.
Robert Moskow: Great. Thank you.
Geoff Tanner: Thanks, Rob.
Operator: Our next question is from the line of Jon Andersen with William Blair. Please proceed with your question.
Jon Andersen: Hi, good morning. Thanks for the question. Hey, Jonathan. Say I have it. Two-parter. You've talked about pricing that you've executed some excuse me, and are considering more across the portfolio. Can you provide a little bit more color around the pricing you've implemented to date and and how you're thinking about that going forward? And then I wanted to kind of shift gears and ask about capital allocation priorities. You know, you've you've paid down some debt and bought back some stock in the quarter. Leverage ratio is in great shape, but well below a churn. How are you thinking about you know, where you wanna apply capital, you know, going forward know, to best use? Thank you.
Geoff Tanner: Yeah. I'll take the price question. Turn it over to Chris with capital allocation. So we did take pricing recently on our Atkins shakes business. Reflecting higher input costs. So that that's been in in in market now for over a quarter. And to your point, we are evaluating additional pricing as we see cocoa remain you know, somewhat stubbornly high, and we are looking at tariffs, as Chris said, TBD ultimately on where that lands, but you know, it's it's it's it's the we need to as I as I mentioned, earlier when we talked about gross margin, we need to recover our costs. To support our gross margin. That enables us to support investment in our business. So we are unsurprisingly evaluating pricing more broadly across the portfolio. Exactly how you know, the levers. You know, you could look at prices increases or trade reductions, but you know, we're we're right now in the middle of figuring out how best to go execute that. We look at input costs remain stubbornly high. I'll turn it over to Chris for capital allocation.
Chris Bealer: Thanks for the question, John. Look, as you said, cash generation for this business is very strong. And, yes, our our net debt is down to 0.5. Our cash and capital allocation priorities have not changed. So we we are constantly evaluating best ways of using excess cash. We we use a a structured framework Our main use of cash that is in excess of operations, our main use is m and a. And we do see some interesting m and a things in the pipeline. Second priority would be debt pay down. Obviously, we've said on the call that, you know, we've we've paid down now. It's about 250,000,000. We're pretty happy with that that debt level. And then the last or third capital use is gonna be on buybacks if it makes sense. And when it makes sense. But as as we've said before, we're we're a high margin asset light model. We do convert a lot of annual EBITDA to cash. And as we said on the call, we have about a 100,000,000 of cash today. And we we talked again on the call about things we use that cash for over the last sort of last twelve months. But, yeah, priorities would be number one, m and a. Number two, debt pay down. And then lastly, any buybacks.
Jon Andersen: Can can I that's helpful. Can I squeeze in one more? I apologize. I'm know you're not ready to comment. Specifically on 2026, but you have said that you're running 70% of the business now in the two high growth brands Quest and Owen, you expect those to kind of continue to grow consumption in the double-digit range. Or better. And then a bit of a drag from Atkins kinda carrying over into fiscal twenty-six. Seems if you kinda do the math, you you could still see top-line growth you know, at algorithm next year. It Is that a fair assessment or do you think that the drag from Atkins is a little bit little bit bigger than initially anticipated? Thanks.
Geoff Tanner: Yeah. No. I I I wanna reiterate. We're we're early in in the cycle for '26. Know? As as we build the plan both on the top and bottom line, You know, to your point, we've got 70% of the of the portfolio. Growing double digits. Which is which is very encouraging, and the category that's at 17 quarters of double-digit growth, With that being said, Acton's is is is it will be a drag as we go into twenty-six? And we're just working through exactly how that is gonna mix. Through. What I would point out, and and Chris referenced this earlier, as you go through '26 and even looking further ahead, Atkins does start to mix down very materially in the portfolio. And and then that obviously has an inflection implications on total company. But '26 will be a year where we will have to address the Atkins distribution headwind.
Jon Andersen: Thank you.
Operator: The next question comes from the line of Alexia Howard with Bernstein. Please proceed with your question. Good morning, everyone.
Alexia Howard: Good morning. Can I ask a slightly different question around the legislation that's just been passed in Texas requiring warning labels to go on to four foods containing 44 additives? By 2027. I'm just curious about how much of your portfolio might be affected whether you can take steps over the next eighteen months to actually eliminate a lot of those additives Is that gonna be a major challenge for you? And which specific ingredients might be most challenging? We've heard from others is that things like preservatives and anti ioxidants are actually much more challenging because of shelf life. Than the original list of artificial dyes that have been wandering around the media for the last few months. Thank you.
Geoff Tanner: Yeah. Hi, Alexia. I'd the questions. I'd say at a high level, we feel much better insulated than many of our large cap food peers. As it relates to food regulations. It's you know, that's obviously underpinned by our category and our product, high pricing, low in sugar, low in carbs. And we don't have the profile of many other categories and products. That where these regulations are centered on. We've obviously assessed our portfolio As we look at where of the regulations are going. And what I would say is that the current impact to our portfolio is very small. There are a few SKUs that will probably have to do some reformulation. But nothing material. And nothing that we can't we can't execute, and I wouldn't anticipate any material cost implications. From that, I think that's a reflection of strength of our R&D team as well. And then where I was reminded the the recent acquisition of Owen only what you need, clean label plant-based to avoid the top nine allergens. Not just safe, but extremely well positioned. Against this shift. And that's something that we're gonna continue to focus on with the brand as we turn on marketing and we continue continue expanding that brand into additional platforms. So not really an issue for us, Alexia. As a general statement, our products are on the right side of the in particular, Owen. We're we're we're gonna really run hard with this trend on that brand.
Alexia Howard: Great. Thank you very much, and good to hear it. I'll pass it on.
Geoff Tanner: Thanks, Latia.
Operator: The next question is from the line of Brian Holland with D. A. Davidson. Please proceed with your question.
Brian Holland: Quest protein bars have seen a nice inflection here. Relative to the past few quarters. You had the overload rollout, which I presume has some, if not all, of the contribution there. But just kind of curious what you're hearing seeing with respect to the response to that launch, how it informs sort of your go forward, and what is still your biggest category, under that Quest banner today. And maybe just some sense of what the innovation pipeline, how that's forming for that specific line?
Geoff Tanner: Yeah. No. I'm very pleased with returning our bar business to growth. Which which has been a a key focus of mine organization. Over the last year. We've seen growth plus three consumption in the last thirteen Weeks versus flat in Q2. The two drivers that we mentioned in the in the script are the growth of our crispy or hero line effect. The new news is overload. We're in the early innings of overload, but I reminded the a ACV on Overload just because of the timing of the resets. We're still in the low twenties. On on ACV. That will build moving forward. But where we have overload in distribution, it is performing extremely well. And I always look to the same store channel. As a little bit of a barometer. On on bars. And overload bars have risen to some of the top turning SKUs in all of our bar portfolio. And if you look at the reviews on Amazon, 4.6 was the last time I checked it. Which is one of the highest reviews we've ever had. I think what that is a reminder is that there's no such thing as a mature category or business. If you continue to bring disruptive innovation. And so you're seeing the category and now our business respond to when we bring out great innovation. And and I would think I've been transparent over the last year or so. That kinda took our foot off the gas a little bit. On fire renovation. Both on Quest and Atkins. And and and that that has been a big focus moving forward is to reignite our bar innovation. Bring exciting new forms and flavors to market, I I obviously see the pipeline that on the business, and it is now very, very exciting to me. And the performance of overload is just a proof point that when we bring great innovation to market, the business responds, and we're gonna continue to do that.
Brian Holland: Thank you.
Operator: The next question is from the line of John Baumgartner with Mizuho. Please proceed with your question. Good morning. Thanks for the question. Good morning.
John Baumgartner: Geoff, I wanted to come back to Atkins. You mentioned the strength of the core SKUs. And I'm curious if you could speak to innovation for the brand going forward. You know, this this class of 24 that launched back in August, the truffles, the gummy bears, those are nicely accretive to sales. Would you consider those types of products included among the core at this point? Have they proven themselves? And how aggressive do you plan on being with innovation at Atkins moving forward?
Geoff Tanner: Yeah. Thanks for the question, Don. Yeah. Innovation is is innovation is just fundamental. To doing well in this category. And as I mentioned, I'm I'm the last question, we had fallen off innovation. I've been very candid. I've been transparent about that. We dropped the ball on bringing great innovation, particularly on the fire business and in our core. So we have ramped up those efforts thrilled about the pipeline not just on Quest, but on Atkins and Owen. To drill down more specifically to your question, the 30 gram AtkinStrong platform that we brought to market is doing very well. It's really helped drive the growth of the ready to drink. Portfolio. The the confection innovation that you referenced some of it's doing well and some of it isn't, and and that's that's pretty pass the course. The focus for us the next wave of focus is gonna be on BART. And bringing more innovative, more disruptive powered innovation to act. So innovation is critical. It's the lifeblood of the category. Flynn is off of it. We have turned it back on, it's it's helping drive the business. On Atkins, in particular, the next wave of that has to be on that.
John Baumgartner: K. Thanks, Geoff.
Geoff Tanner: Thanks. Thanks, John.
Operator: Thank you. At this time, we've reached the end of the question and answer session. I'll turn the call over to Geoff Tanner for closing remarks.
Geoff Tanner: I just want to thank everyone for joining the call, and we look forward to seeing you on October.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a wonderful day.